Operator: Greetings and welcome to The ExOne Company's Fourth Quarter and Full Year 2018 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] please note this conference is being recorded. I'll now turn the conference over to your host Karen Howard, Investor Relations for ExOne. Ms. Howard, you may begin.
Karen Howard: Thank you, Sherry [ph], and good morning, everyone. We appreciate your time today for our fourth quarter and full year 2018 financial results conference call. Referring to our slide deck on Slide 2, on the line with me today are our presenters; Kent Rockwell, our Chairman and Chief Executive Officer; John Hartner, our Chief Operating Officer and Doug Zemba, our Chief Financial Officer and Treasurer. In addition Brian Smith, our Senior Vice President of Corporate Development is with us and may participate in the Q&A. [Indiscernible] John Hartner joined ExOne in November. Since this is his first earnings calls I'll remind you with some of his background. He's led technology companies around the world for 30 years in the automation, electronics and digital printing industries. For almost half his career, he lived and worked in Asia and Europe. John has lead a variety of industrial technology businesses including roles with Dover Corporation, FMC Technologies and Rockwell International. So that gives you a sense for the depth and breadth of his experience that he brings to ExOne. Now back to the business at hand. Kent, John, and Doug will be reviewing the results that were published in the press release distributed this morning. If you don't have that release, it's available on our website at www.exone.com. The slides that accompany our discussion today are also posted on our website. On Slide 3 is our Safe Harbor statement. As you may be aware, we will make some forward-looking statements during this presentation and may also during the Q&A. These statements apply to future events that are subject to risks and uncertainties as well as other factors that could cause actual results to differ from where we are today. These risks and uncertainties and other factors are provided in the earnings release as well as other documents filed by the company with the Securities and Exchange Commission. These documents can be found on our website or at www.sec.gov. I also want to point out that, during today's call, we may discuss some non-GAAP financial measures, which we believe are useful in evaluating our performance. You should not consider the presentation of this additional information in isolation or as a substitute for results prepared in accordance with GAAP. We have provided reconciliations of comparable GAAP to non-GAAP measures in the tables accompanying today's earnings release. Kent will get us started, Doug will go through a detailed review of the financial results. And then John will provide perspective on our outlook before we open up the line for questions and answers. And with that, it's my pleasure to turn the call over to Kent to begin.
Kent Rockwell: Thank you, Karen. And good morning and welcome everybody for our Q4 review. I'm going to start off by reviewing some of the highlights of the press release that we've put out earlier today. I'm not going to spend too much time on that because you'll hear a lot more details that from Doug, so I'll just be brief here. We had record revenue of $64.6 million which was an increase of 12% over prior year. I'm pleased with this performance even though that is a little bit less than the annualized growth that we had anticipated and I'm going to address that in just a minute on subsequent slide. Our 2018 global cost initiatives improved our performances in the second half of the year substantially. We had talked about that the previously and I think that we've been very effective in getting our cost aligned as we move into 2019. Our gross profit is up 46% over the prior year quarter which is a healthy improvement for us and we've got a three-year growth rate there, 39%. We continue to invest in some exciting new developments and materials that are coming online and also in making our machines more productive and John Hartner is going to touch on that. But this is key to funding future growth initiatives and John will bring you up to speed on it. On the next slide, I wanted to go back and just for a minute touch on what we said we're going to do in the prior quarter and then just post that up against our results and in Q3 we provided a few goals I'll present here again under the list of expectations. With respect to machine sales, we said that we would - anticipated increasing by 100% in both units and revenues. In actuality, we increased 87% in units and 95% revenues, so I do not consider that to be too far off of our mark. We said that we would depend on good execution, on our part and also good execution on our customers to complete these transactions. I think that ExOne executed in very fine fashion in the quarter and deliver the record number of 28 units - machines and we had a couple customers that didn't quite get done what they said they were going to get done and I'll touch on that again, in just a minute. Net income exceeded our expectations and we were pleased with the results of that and Doug will bring you up to speed on all the details in our income. In R&D spending, we spent a little bit less than we thought we were going to spend that was not for any other reasons and so some of the requirements that we had for the new machine developments, some of the bigger pieces of that didn't come until the first quarter of 2019 and that does get expensed. In cash flow, we said that we would be positive cash flow in Q4. We were not - we had a slight miss of the $2.9 million in the scheme of things the way large chunks of cash moved when you're selling machines in $1 million, $4 million, $5 million. It only takes one or two deferrals to make this change in. I don't consider that to be of anything significant as well. When I look at the availability of our credit line of $15 million which is completely unused at this point, I believe that we have sufficient capital reserves to meet our current planned objectives as we move into 2019. Finally and I think this is very significant, the top line growth of - without sacrificing profitability. Our profitability is best measured by our gross margin. Our gross margin hit 40.2% and I think that's a very strong margin that shows the power of our earning capability, what we struck to get to higher volumes as we bring on more and more new machines and see better adoption. On the next slide, I wanted to just point out that we're talking about revenue recognition. We achieved 12%, we had two customers that did not get their funding in place. The machines were ready, they were accepted at the factory, but we did not shipped them. If those two machines had just fallen in place because the customers both international customers had completed their financing processes, we would have been closer to 17% to 18% and our growth because these were large machines. We have won the machine that did not get the in 2018 because of the US Government paper work was delayed and we're still processing that through, but all of these customers are still with us and still going to be closed and we didn't lose a customer [indiscernible] four small machines that all have subsequently closed and though we had anticipations that some of those would have closed in 2018 year. So just a few machines and the total makes a huge difference in percentages and we didn't lose anything. So it's almost funding to try and measures the differences just as the function of the size of the machine, so versus the total business environment we have here. Our growth is still moving in the right direction and I'm pleased about that. The technology binder jetting is just maturing as you know binder jetting is a subset of the 3D printing technology and five years ago binder jetting wouldn't have been recognized as a relevant process. There was all talking E-beams and electric beams and the plastic of the polymer printers. But today it has gained much recognition is what may become the most cost effective process per volume production and we now see competitors such as GE, HP, Desktop [ph] all making large investments in this technology. It does not stress me from ExOne perspective, we have large other competitors like this in the marketplace. I think rather it's a validation of where we've been headed all along and I believe that ExOne holds a very strong proprietary position in this field and that we're probably capable of competing effectively in this market as it continues to grow. As this technology expands and is being used by more and more customers, more and more applications are being developed. Our diverse body of global users and so there's tremendous growth opportunity that we're starting to see and one case, with the indirect machines we're now looking at printing molds for certain applications. It may even extend beyond the market size of the mould for sand printing. So this is continuing to grow at a good rate. In my opinion, the demand for this technology is going to exceed supply over the next few years as to markets [indiscernible] more and more viable applications for this process and for the many materials to which it applies. We're going to have to continue to be innovative leaders in collaboration with a growing universe of our users. A lot of our customers still prefer to keep all of the work that they're doing in this area confidential and so we do not discuss some of these things. But I have to tell you that there is a lot of opportunity, major global customers that we're working on. We are well positioned with our latest machines designs to achieve good market penetration in this growing global market. John is going to touch on that more and will speak to that subject. So I'm going to let John and Doug take over the [indiscernible].
Doug Zemba: Thanks Ken. Good morning, everyone. If you could please turn to Slide 10 and we'll start with revenue. Revenue was up 25% to a record $25.3 million in Q4, 2018 compared to Q4, 2017. For the year as Kent mentioned we achieved record revenue of $64.6 million reflecting 12% growth over 2017. You can see that we had a very strong quarter for machine revenue which represented 75% of our fourth quarter revenue and 56% of our full year revenue for 2018. Now let's go to Slide 11. Here you can see that our fourth quarter machine sales were up 47% to $19 million compare to Q4, 2017. As we indicated last quarter we expected significant growth in the fourth quarter. We finished the year with $36.4 million of machine sales reflecting 21% growth over 2017. Now if we can turn to Slide 12, we will review machine unit sales. You'll notice that this breakdown is different from our past disclosure. We believe we've reached the size where disclosing the specific machine type is no longer relevant, but the breakdown better direct and indirect machines maybe more informative. As a reminder, our direct machines directly print components such as metal parts and include our INNOVENT+ and M-Flex platforms. Our indirect machines print tools such sand molds and core and include our S-Max and S-Print platforms. Our indirect machines are our larger footprint systems, such systems generally achieve a higher average selling value. We sold 28 machines in the 2018 fourth quarter representing 75% increase over Q4, 2017. Our 2018 fourth quarter machines were evenly split between our direct and indirect platforms. In the 2017 fourth quarter, we were more heavily weighted toward our larger and higher value indirect machines. As you can see, we doubled our direct machine sales over last year's fourth quarter. These were driven by sales of our fine powder printing INNOVENT+ machine. The sales of this machine demonstrate the customer interest in our fine powder printing technology where we're investing and have announced our next new machine, the X1 25PRO. The X1 25PRO represents a scalable transition from our INNOVENT+ printer to a true production machine for purposes of fine powder printing. 17 of the 28 machines sold this quarter were the customers that have experience operating our machines and 11, were the first time machine customers. Included in our sales to experienced customers were two indirect printers to a significant foundry customer which represented their seventh and eighth units purchased globally. In addition, we're excited that the same customer has now ordered their ninth unit from us in 2019 and they recently communicated to us their intent to purchase at least one additional unit during the year. Industries we sold our machines into during the quarter included each of our primary targets. Automotive, aerospace, general, industrial and energy. We also sold machines to research and educational institution seeking to further advance their own research and development activities including material development for industrial and other applications. For the full year in 2018, we sold 56 machines, a 37% increase over 2017. Again you see the significant increase in direct unit sales which grew 67% over last year to 30 machines in 2018 led by our INNOVENT+. Now let's turn to Slide 13. Non-machine revenue was $6.3 million in the fourth quarter of 2018 down 13% compared to last year's fourth quarter. For the year non-machine revenue grew 2% to $28.2 million. Our fourth quarter decline is attributed to a lower volume of printing projects based on timing of customer orders and the impact of the exit from our Houston, Texas facility executed in the third quarter. These declines were partially offset by increases in aftermarket revenues associated with our growing customer installed base machines. For the year, the comparison is similar with impacts from - of our exit from Houston as I previously described and our 2017 exits from our Sweden printing operation which converted to a machine relationship and our former special team machining operation in Michigan. Turning to Slide 14, we'll talk about gross profit and gross margin. Gross profit was $10.2 million resulting in 40.2% gross margin for the fourth quarter of 2018, a significant improvement over 33% margin for the fourth quarter of 2017. The increase was driven by operating leverage on better sales volume as well as reduction in the fixed cost portion of our cost to goods sold. For the year, we realized gross profit of $20.9 million and a gross margin of 32.4% up from 24.9% in 2017. The increase was driven by higher revenue as well as benefits from our 2018 global cost realignment initiative and other restructuring activities that are being ongoing since early 2017. Additionally, last year included higher net inventory obsolescence charges, gains from property and equipment disposals and the sale of Exerial machines at a breakeven contribution margin which did not repeat in 2018. Please turn to Slide 15 and we'll discuss SG&A. comparing the fourth quarter of 2018 to 2017, our SG&A expenses were down approximately $400,000 or 6%. The decrease was principally due to lower employee related cost resulting from our 2018 global cost realignment program. For the full year, our SG&A decreased by $1 million to $23.2 million or 3% or 36% of sales. The decrease was primarily due to lower equity based compensation and reduction in amortization expense partially offset by higher employee related cost, in the first half of the year which were reduced in the second half following the enactment of the 2018 global cost realignment program. Please turn to Slide 16 and we'll discuss our investment in R&D. the 2018 fourth quarter reflects an approximate $400,000 or 16% decrease compared with 2017 fourth quarter. The decrease resulted primarily from the 2018 global cost realignment program resulting in lower employee related and consulting cost. While we've reduced cost this has not had a corresponding impact on the advancing development of binder jetting technologies. You may recall in early in 2018, we anticipated spending approximately $6 million to $8 million more on R&D than we did in 2017. However, on setting our planned spending is part of our 2018 global cost realignment initiative. We determined that we could undertake our critical R&D activities in a much more cost effective manner. For the year, our 2018 R&D investments dollars reflect higher cost preceding that initiative. Now if you'll turn to Slide 17 I'll review backlog. We finished the year with total backlog in excess of $12 million impacted by the significant revenue recorded in the fourth quarter based on our execution. As we've communicated in the past, we have been focused on improving our execution on customer contracts to reduce the time from order to recognized sale. Improved execution drives down our backlog as orders turn more quickly. The weighted average age of machine orders in our 2018 backlog is significantly reduced as compared to 2017 on this basis. We believe our 2018 backlog is more representative of a normalized backlog as compared to our historical balances at our higher revenue base. To remind you, backlog includes firm orders we're seeing from our machine and non-machine customers. It includes our firmly committed machine maintenance contracts as well as the non-cancellable portion of our operating lease agreements. Backlog also includes orders from our direct and indirect printing operations and other contractual services such as missile defense agency contract. In the first two and half months of 2019, we've continued to see favorable order activity. Year-to-date, we've landed an additional seven million of machine orders globally which we expect to ship and execute during 2019. We continue to have confidence in the strengthen of our customer pipeline. Now let's please turn to Slide 18 to review CapEx. Our cash CapEx has continued at a modest pace. Our fourth quarter cash spending was consistent with 2017 fourth quarter at approximately $100,000. We ended the year at $1.3 million in cash CapEx. The non-cash portion of our CapEx shown here pertains through the transfer of machinery from inventory into PP&E for using our own direct and indirect printing operations, for R&D development or for customer leasing opportunities. Noted in the footnote, our transfers from PP&E to inventory principally to support commercial sales activity with customers. Looking ahead to 2019, we estimate cash CapEx of approximately $1 million to $2 million. Turning to Slide 19, this chart represents a waterfall of our 2018 cash flows split into two sections. The first half year is on the left and the second half is on the right. Since I reviewed the first half year with you previously, I won't reiterate it. But I'll review the second half cash flows now. You'll notice that our cash usage was significantly lower in the second half of the year than in the first. I mentioned cash CapEx on the last slide. Working capital changes resulted in a use of cash of about $9.4 million during the half impacted by the timing of collections from customers and investment and inventory to support our growth. Our net income, net of non-cash items and other generated $6 million of cash in the second half of the year and we ended the year with $9.1 million in total cash. If you'll turn to Slide 20, you'll see our total liquidity. At the end of 2018 and 2017. At the end of 2018, we had $22.6 million of liquidity consisting of $7.6 million of unrestricted cash and cash equivalents and our $15 million credit facility which we put into place in March 2018. We continue to have virtually no debt outstanding. That concludes my prepared comments and now I'll turn it over to John.
John Hartner: Thanks Doug. Good morning, everybody. I'm pleased to have my first opportunity to share insights into our positive outlook for the metal 3D printing market and ExOne's excellent positioning in the space. With my industrial technology background including exposure to a wide range of digital printing markets I've always seen the scalability of binder jetting compared to older [indiscernible] imaging methodologies like laser. So I'm excited to be part of ExOne where I can influence the further development of binder jetting into a broader range of applications in real manufacturing environments. To emphasize that, if you could turn to Page 22. I want to share a chart that although a bit detailed does a great job of comparing the technologies in the fast growing metal 3D printing market. This was extracted Roland Berger a well-known independent consultant and adapted for our use. As many of you're aware, there are several technologies in the world of metal 3D printing and they're listed across the top of the chart. The most well-known and the one with the lion share of today's market is Laser Powder Bed Fusion commonly referred to laser sintering that's shown in far left column. And then you can see the Binder Jetting in the far right column. This is the technology used by ExOne and whose capabilities have been rapidly growing over recent years. I wanted to highlight four key parameters depicted in the rows. First you can see the varying degree of manufacturing readiness in the second row of parameters. Manufacturing readiness for binder jetting has been attained for many industries and is rapidly progressing the match and in time exceed laser sintering. Second; you'll see a row of key materials for each technology. Notice that binder jetting has the broadest list of materials. We view this breadth as a real advantage for ExOne, as we've been in the industry for so long and have seen many applications with these materials used on our machine. This experience gives us access to many high value applications that have been waiting for a high volume 3D printing solution. Regarding material properties, you noticed I have a yellow check mark next to the binder jetting column. We believe the authors of this chart view this area based on a group of companies including several new comers. We believe that we are the forefront of that group and therefore our capabilities are better than what's shown here. Having said that, this is an area where we continue to focus R&D to enhance our material properties. Finally and perhaps most importantly, look at the build cost row in the large green check next to it. There you'll notice that binder jetting technology provides a significantly lower cost model than all others and dramatically lower the laser sintering. Accordingly, binder jetting better fits serial production applications and this fit is, one of the driving forces behind the growing awareness of binder jetting technology. Given our years of experience and working in real world applications we believe we have a very good position compared to others who are currently developing machines for 3D binder jetting. Now let's go to Slide 23, continuing on the strength of binder jetting technology and ExOne's position in the marketplace. I wanted to make a few more points. Material sets, which consists of the metal powders or ceramics and our proprietary binders continue to rapidly expand. We believe the growing range of our material sets together with the print quality achieved on our machine is currently presenting us with higher value sales opportunities than we've seen in the past. We are engaging with the range of high performance customers such as those serving the DOD and they are looking at incorporating our technology into new contracts. This will result in new orders and in turn open new attractive market opportunities. We can't predict when it will happen, but we know it will based on our ongoing work with our customers. Another trend is the increasing ROIs for the binder jetting which opened up many new applications. Continue improvement of our cost to ownership of bringing new customers to the table and helping them arrive at favorable capital investment decisions. Finally regarding indirect 3D printing of sand molds and core for cast metal components. Our customer rate is expanding beyond the early adopters. Companies are realizing that this is the way the casting industry is growing and they need to jump on board or risk getting left behind. Also we believe that the newly developed mold making opportunities could become another very large market similar to our casting market. These factors are wings at our back, contributing the growing customer interest in our technology and our long-term growth prospects. Now if you can turn to Slide 24. I'll talk more specifically about our focus for this current year. First we'll focus on reducing the cycle time between new application concept to customer order. We need to help our customer speed the validation and scalability of many of the new used cases for our technology. This in turn will accelerate our sales. Secondly, we continue to advance our technology. With our new cost structure we're approaching our research more efficiently, but still in aggressive manner to deliver meaningful improvements to the marketplace. From a machine perspective, that means we continue to focus on quality, speed and performance. We announced in November, our newest fine powder machine the X1 25PRO there's lots of excitement for this machine with beta set and expected production shipments in the second half of the year. On the indirect machine side, we have a number of new advancements to announce at the GIFA Foundry Show in Germany, so stay tuned for exciting details to come out in June. As always our research on new materials persists. With all the buzz about binder jetting technology, we believe now is the time to make greater investments in our brand awareness. We're emphasizing X1's broad capabilities and successful installed base for real customers. For example, our growth area includes expanding our direct metal printing promotions globally which previously was only known in the US. An area I'm really passionate about is, building the recurring revenue business. ExOne has done a great job of building the largest 3D metal binder jetting installed base in the world. We need to do a better job of serving those customers with consumables, services and parts to help them be even more successful. And at the same time help reduce our top line and bottom line volatility. Finally with increased attention to developing close relationships with other players in our ecosystem both upstream and downstream. ExOne will focus on being a best-in-class printing solution provider and co-operate with experts and software, powder suppliers and sintering. We believe this focus and ecosystem collaboration delivers the best overall solution for our customer and drives our success. Now if you'll turn to Slide 25. I'll review our specific financial goals for 2019 and beyond. As you know, it's difficult to predict timing of customer actions, but at this time given our strong customer pipeline we feel confident that our revenues will grow faster than in 2018 and we expect growth in the mid-teens range. However we know that revenues continue to be lumpy quarter-to-quarter. We expect our 2019 first quarter will be modestly below the 2018 first quarter due to delivery timing of some of our indirect machines, that timing is directed by our customers. However the growing machine order activity in our backlog as well as our customer pipeline give us confidence in our second quarter and our second half. We think first half, second half revenue split we currently estimate at 35\65 which is pretty consistent with our history. From an execution standpoint, we'll continue our fiscal prudence and anticipate achieving positive adjusted EBITDA in 2019 in total, while also maintaining the R&D investments that I spoke about a few moments ago. In addition to machine revenue growth, we intend to grow our recurring revenue base by further penetration into our expanding installed base. In the past, our cost structure had been a headwind against the profitability in our non-machine revenue. During 2018 we improved the profitability of that revenue stream by removing fixed costs. Going forward, we anticipate this will be a tailwind with our revised structure and focus. Finally as we look ahead beyond 2019, we anticipate revenue growth at increasing rates over the next several years driven by our initiatives. To reiterate, these include expanding applications enabled by binder jetting, broadening our machine platform range and growing our recurring revenue base. And our focus is not simply growth for growth sake. We believe, we're now positioned to leverage our cost base and achieve profitable growth. Let me say that again, profitable growth. That concludes my prepared remarks. Now let's open up the lines for questions.
Operator: [Operator Instructions] our first question is from Chris Van Horn with B. Riley FBR. Please proceed with your question.
Chris Van Horn: I was hoping if you could just give a little more detail on the 2019 guidance, how we think about what a growth rate would look like relative to 2018? And then when we think about profitability, do you see a similar kind of pass that you saw on 2018 in terms of how it looks from a cadence perspective? Thanks.
Doug Zemba: Hi, Chris. This is Doug I'll answer that, so on the 2019 numbers. We're looking mid-teens so we think we're going to exceed - we're 12% year-on-year for 2018. We're thinking mid-teens for 2019 somewhere within that range and relative to the split as John just mentioned we're thinking 35/65 first half, second half. That measures against historical patterns for this company and as John indicated we think it's first half sort of shortfall against prior. But with a lot of machine orders as I referenced in my commentary that bring us back in the second quarter to hit those numbers.
Chris Van Horn: Okay and then would profitability look kind of similar to 2018 in terms of how it plays out, along with those revenues?
Doug Zemba: Yes I think a good way to look at profitability as if you look at the fourth quarter and you look at that $25 million revenue base, we hit 40% plus on the gross profit side.
Chris Van Horn: Yes.
Doug Zemba: That's a high quality for us. So we feel pretty good about the quality of the 40%.
Chris Van Horn: Okay, great. And then, when we think about the cost savings initiatives, it seems like you've identified a lot and congratulations on the success there. It seems like there could be more to come and just curious of the timing or if you could quantify it all for 2019 and maybe beyond?
Kent Rockwell: We obviously, this is Kent, Chris. We obviously put a very extensive effort into cleaning things up in 2018 to be able to get to the level of profitability that we achieved in Q4. And so we think we've done a pretty good job and we're still a growing company and so some of that, to be able to effect growth you're going to have to be able to spend for futures. So we'll continue to pursue cost initiatives, but there's a not lot left out there that I'm going to say is non-recurrent stuff that we're going to get rid of it. I think it's more of the - as we start to grow, we'll make more productive investments in some of the costs that we took out and that's - it's not going to be at the same level. It's not just that much cost in the company to take out another $8 million of cost.
Chris Van Horn: Okay, makes sense. And then, we're hearing from various end markets that we talk to, is that adoption of additive technology is ramping. Are you hearing from any specific end market whether it's aerospace, general, industrial, automotive. The adoption is kind of either more aggressive or quicker than you thought or is it kind of across the board.
Kent Rockwell: John, why don't you answer that?
John Hartner: I'd say it is across the board. We're obviously in the early phases of additive, but it's been growing for a while and it seems certainly that binder jetting has captured the imagination and the possibility of what's possible for serial production, short life production within metal 3D printing. We're getting positive responses from a number of customers who're working on scaling this and as I said in my script, I believe there is a lot of high value applications that we'll be able to bring online.
Chris Van Horn: Okay, got it. And then lastly from me. You've kind of called out the aftermarket as a tailwind in the non-machine revenue with the installed base growing like it is, is that business getting bigger, is there more investments to be made in the aftermarket side from you all and then, how is - what is the trajectory it looked like for you. I know it's probably still early, but any sort of commentary around the aftermarket.
John Hartner: Yes, so this is John. As I said I've spent a lot of time installed base businesses and the aftermarket is critical, recurring revenue is critical. It's very symbiotic. We have customers who are more and more successful, increase the output of their machines and we have a corresponding revenue stream in consumables or service etc. we think the growth rate we had in 2018 it was impacted as Doug mentioned by some structural changes. But we see that growth rate increasing in the future. And we're making some additional investments in that, to ensure we can serve those customers better and drive that growth across the world and across our machine platforms.
Chris Van Horn: Okay, great. Thank you so much for your time.
Operator: [Operator Instructions] our next question is from Jed Dorsheimer with Canaccord Genuity. Please proceed.
Steve Colbert: It's actually Steve Colbert in for Jed. Looking at the competitive landscape and you touched on this. But I guess the new interest you're seeing from some larger folks out there. Is that both on the direct and the indirect side or should we think about that?
Kent Rockwell: This is Kent, Steve. The indirect business and what we've done in the foundry market to sand casting site is not something that we have other strong competitors and we think we have a fairly good position in that market. All of the future is in the metals.
Steve Colbert: Yes.
Kent Rockwell: And it's taken time to get down to the fine powder level that we'll provide that capability for the market to really go into mass adoption and we now are down at that powder level. And so now the new machines that can print at that powder level will start to really get adoption. And that market is so big that it's attracted obviously other players and fine - we're not - we don't feel disadvantaged to have other guys making large claims in some cases. But you know - what the future of this business is, as I've said and my perception. There's going to be, demand will exceed supply. There are so many opportunities and the so many applications and it's not just all about one thing, about one speed or one particular kind of machine. There's going to be a variety of machines depending on what are the specifics of the applications and the materials. So we're seeing it accelerate because metals now is becoming a viably addressed market.
Steve Colbert: Okay, that's helpful. Thanks. And then, maybe just to drill down a bit on INNOVENT+ to fine powder. Can you just talk about you were saying cadence of orders etc. and I guess do you still see getting the smaller printers in as the gateway if you will to getting the larger printers placed.
Kent Rockwell: John.
John Hartner: Thanks Steve. The INNOVENT + is a great way for customers to get early experience with our platforms and we continue to see the demand being similar in growing levels from what we've seen in the past. The nice thing that we see is all of those customers are very interested overtime, scaling their production with our X1 25 platform in the future, that continued growth within the industry and within their adoption is really encouraging for us for the future.
Kent Rockwell: Yes. At least a majority of buyers of the INNOVENT have said that they want to move to the larger platform as soon as its available. So we feel that's a positive sign and that's one of the reasons we put the INNOVENT out in the form that we did.
Steve Colbert: Okay, great. Thank you. And then I guess finally for me. If you could just, you mentioned the new promotions. If just maybe give a little bit more color there or what we might be seeing in the future coming out. Thanks guys.
John Hartner: Yes, sure. So we're definitely stepping up our brand awareness and marketing side. Again there are some great tailwinds we have from in the industry with many people investing in binder jetting and that's creating buzz and creating new opportunities for us. But X1 has a long history. Sometimes our history associated more with the sand portion of our business, but we want to leverage our total business including that very rapidly growing direct metal printing side. Secondly I would say that also would apply to us being more global in our brand in projecting around the world. I've spent a lot of time in a number of geographies and I think it's very critical that we have X1 as the premier player in binder jetting across the globe.
Steve Colbert: Good.
Operator: Our next question is from Fields [ph] [indiscernible] capital. Please proceed.
Unidentified Analyst: There's still a very high short position in your stock and I think there's a concern out there that you guys will have to raise equity to fund your growth. And I was wondering if you could talk a little bit about the credit facility. Specifically, are there any limitations on the company's ability to access that facility and what is the rate on that facility?
Kent Rockwell: I'll let Doug address that, it sounded biased [ph].
Doug Zemba: Sure. the credit facility and I refer you to our historical filings for all the details that described that the terms and conditions is available for use through March, 2021 and it's collateralized by certain assets of the company. However we view it is as an available source of liquidity, as we need it, so no major restrictions. The prevailing interest rate as of the end of the year was 7.5%.
Unidentified Analyst: Okay, thanks very much.
Kent Rockwell: The money sits in the bank 100% funded. It has been there since we did this - is available anytime could be drawn on anytime, we haven't had any requirements to do so at this point and it's all a function of - it only takes a few customer orders to really change our cash flow. I mean with the deposits that we get and we're just coming into that season. So I'm comfortable that capital is sufficient to meet the plans that we have, if our plans change and if we see opportunities in the market, where we can apply capital more effectively. I believe we could go to market and find capital. So I don't think we're stressed in any way about it. We would do it, if it made sense. And at this point in time, we haven't seen the sense of that.
Unidentified Analyst: Great, thank you very much.
Operator: Ladies and gentlemen, we've reached the end of our question-and-answer session. I would like to turn the call back over to management for closing remarks.
Kent Rockwell: This is Kent again. Thanks for your attention this morning and for your interest in ExOne. We're very excited about it here at the company and we think we've got a good direction for the future. We think 2019 will continue to be a moving forward year and our cost structure and our development areas are all continuing to be examined and furthered. We're excited about what 2019 has in store and the future beyond that. You got to remember at this business, you got to look at couple years to see where really it's trying to develop. But we have the machine developments for this year really don't hit us in full annualized basis as until 2020, even though they're coming online here in the middle to later in this year. So we look forward to updating you again in May and thank you again for your attention.
Operator: Thank you. This concludes the conference. You may disconnect your lines at this time and thank you for your participation.